Operator: Good morning, everyone, and thank you for participating in the Magnolia Oil & Gas Corporation's Second Quarter 2025 Earnings Conference Call. My name is Kim, and I will be your moderator for today's call. [Operator Instructions] Our call is being recorded. I will now turn the call over to Magnolia's management for their prepared remarks, which will be followed by a brief question-and- answer session.
Tom Fitter: Thank you, Kim, and good morning, everyone. Welcome to Magnolia Oil & Gas' Second Quarter Earnings Conference Call. Participating on the call today are Chris Stavros, Magnolia's Chairman, President and Chief Executive Officer; and Brian Corales, Senior Vice President and Chief Financial Officer. As a reminder, today's conference call contains certain projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied in these statements. Additional information on risk factors that could cause results to differ is available in the company's annual report on Form 10-K filed with the SEC. A full safe harbor can be found on Slide 2 of the conference call slide presentation with the supplemental data on our website. You can download Magnolia's second quarter 2025 earnings press release as well as the conference call slides from the Investors section of the company's website at www.magnoliaoilgas.com. I will now turn the call over to Mr. Chris Stavros.
Christopher G. Stavros: Thanks, Tom, and good morning, everyone. We appreciate you joining us today for a discussion of our second quarter 2025 financial and operating results. I plan to highlight our second quarter results, which defined another strong quarter of consistent execution for Magnolia and one that's delivered an even more capital-efficient program than what we outlined earlier this year. In addition to our strong results, second quarter results, I'll point out some small bolt-on acquisitions that we completed within the last month and emphasized how this continues to benefit both our operational and financial performance, even through periods of product price volatility. Brian will then review our second quarter financial results in greater detail and provide some additional guidance before we take your questions. Turning to Slide 3 of the investor presentation. Magnolia delivered strong results across all financial and operational metrics during the second quarter. Our total adjusted net income for the quarter was $81 million with adjusted EBITDAX of $223 million. D&C capital was only $95 million during the second quarter, providing a reinvestment rate of just 43%, highlighting our asset quality and the efficiency of our capital program. Pretax operating margins were 34% in the quarter, and our annualized return on capital employed was 18%. Magnolia generated free cash flow of $107 million, and we returned 72% or approximately $78 million of that free cash flow to our shareholders through our growing base dividend and ongoing share repurchase program. The company achieved another record quarterly production rate with total volumes of 98,200 Barrels of oil equivalent per day during the quarter, which was above our earlier guidance and the result of continued strong well performance from both earlier wells and some newer completions. This represents year-over-year production growth of 9% with total production at Giddings showing growth of 11%. Second quarter total oil production of 40,000 barrels per day also set a new company record and remained resilient, representing 5% year-over-year growth. As a result of the continued strong well performance throughout our asset base, we have raised our full year 2025 production growth guidance to approximately 10% from the prior range of 7% to 9% growth. Notably and because of the additional operational flexibility and higher growth afforded to us by the better well performance and capital efficiencies, we are continuing with our plan to defer and preserve several well completions into 2026 and maintaining our estimate of 2025 capital spending in the range of $430 million to $470 million. Simply put, our better-than-expected results seen during the first half of the year allows us to spend less capital in 2025, while generating higher-than-expected production and advances our goal of being the most efficient operator best-in-class oil and gas assets have been generating high returns on those assets, while employing the least amount of capital. Second quarter results are an ideal example of our team's success in executing the strategy and with our recent financial results exhibiting this principle. We were able to use some of the excess cash generated by the business to close on multiple oil and gas property acquisitions from several small private operators during late June and early July, totaling about $40 million. These bolt-on transactions are shown on Slide 4, added approximately 18,000 net acres in Giddings, including roughly 500 barrels of oil equivalent per day of production. This acreage is contiguous to our current Giddings position as new leases increases our working interest in existing leases while also adding new royalty acreage. These acquisitions further strengthen Magnolia and not simply by adding a small amount of oil and gas production, but more importantly, by expanding our prospects and expanding the durability of our high-return business. We have regularly deployed this similar approach in Giddings of appraise, acquire, grow and further exploit since the company's inception and leveraging off a significant subsurface knowledge and experience we've gained, while operating in the Giddings field. Our pursuit of this strategy has allowed us to increase the extent of our development acreage in Giddings by an additional 20% to 240,000 net acres, which now represents more than 40% of our net acreage position in the area. This increase includes approximately 30,000 net acres from organic appraisal efforts within our existing acreage and roughly 10,000 net acres from the recent bolt-on deals. The Giddings area has a large amount of oil and gas in place, and we will continue to appraise and learn more about this asset over time, feeling confident that our development acreage in the area will continue to grow. Strong well productivity, capital efficiencies and high operating margins are all features that are prevalent in our Giddings asset area. These high-quality attributes, along with our continued focus, capital discipline and competitive advantages gained throughout our accumulated knowledge in the field are responsible for much of Magnolia's overall success. A core competency of Magnolia is acquiring bolt-on oil and gas properties that have similar attractive operational and financial characteristics to our existing core assets. We will continue to look for additional opportunities over time to expand our presence and footprint within the field. For Magnolia, the crucial aspect around any acquisition is that it continues to provide us with the ability to execute our proven business model, while maintaining the same successful recipe of balance sheet strength, capital discipline, realizing high pretax operating margins, generating mid-single-digit production growth and returning a significant portion of our free cash flow to our shareholders for our ongoing share repurchases and a safe, sustainable and growing base dividend. Magnolia's operations remain consistent and steady, and we continue to execute a differentiated focus and investable E&P business model that is enduring. Solid well performance continues to drive our overall production higher, while supporting our disciplined capital spend that has been well below our self-imposed 55% reinvestment ceiling. Ongoing capital efficiencies has allowed us to generate consistent free cash flow throughout periods of product price volatility. Our top-tier assets and focused strategy centered on prudent reinvestment steady production growth and reliable free cash flow should continue to drive shareholder returns over the long term. I'll now turn the call over to Brian to provide some further details on our second quarter 2025 results and some additional guidance for the third quarter of this year.
Brian Michael Corales: Thanks, Chris, and good morning, everyone. I'll review some items from our second quarter results and refer to the presentation slides found on our website. I'll also provide some additional guidance for the third quarter of 2025 and the remainder of the year before turning it over for questions. Starting on Slide 6. Magnolia delivered an excellent quarter as we continue to adhere to our differentiated business model. During the second quarter, we generated total and adjusted net income of $81 million or $0.42 per diluted share. Our adjusted EBITDAX for the quarter was $223 million, with total capital associated with drilling completions and associated facilities of $95 million, representing 43% of adjusted EBITDAX. Second quarter production volumes grew 9% year-over-year to 98,200 barrels of oil equivalent per day, while generating free cash flow of $107 million. Looking at the quarterly cash flow waterfall chart on Slide 7. We started the quarter with $248 million of cash. Cash flow from operations before changes in working capital was $214 million, with working capital changes and other small items impacting cash by $16 million. During the quarter, we paid dividends of $29 million and allocated $49 million towards share repurchases. We had $16 million of small bolt-on acquisitions during the quarter comprised of acreage additions, working interest and royalties. We incurred $100 million on drilling, completions and associated facilities as well as leasehold and ended the quarter with $252 million of cash. Looking at Slide 8, this chart illustrates the progress in reducing our total outstanding shares since we began our repurchase program in the second half of 2019. Since that time, we have repurchased 77.2 million shares, leading to a reduction in weighted average diluted shares outstanding of 25% net of issuances. Magnolia's weighted average diluted share count declined by approximately 2 million shares sequentially, averaging 192.1 million shares during the second quarter. We currently have 7.4 million shares remaining under our repurchase authorization, which are specifically directed toward repurchasing Class A shares in the open market. Turning to Slide 9. Our dividend has grown substantially over the past few years, including a 15% increase announced earlier this year to $0.15 per share on a quarterly basis. Our next quarterly dividend is payable on September 2 and provides an annualized dividend payout rate of $0.60 per share. Our plan for annualized dividend growth is an important part of Magnolia's investment proposition and supported by our overall strategy of achieving moderate annual production growth, reducing our outstanding shares and increasing the dividend payout capacity of the company. Magnolia has maintained a strong balance sheet and is a key principle of our business model. Our $400 million senior notes do not mature until 2032, including our second quarter ending cash balance of $252 million and our undrawn $450 million revolving credit facility, our total liquidity is approximately $700 million. Our Giddings balance sheet as of June 30 is shown on Slide 10. Turning to Slide 11 and looking at our per unit cash costs and operating income margins. Total revenue per BOE declined approximately 13% year-over-year due to the decline in oil prices and partially offset by an increase in natural gas and NGL prices. Our total adjusted cash operating costs, including G&A, were down 4% to $10.70 per BOE in the second quarter of 2025. LOEs was exceptionally low during the quarter at $4.88 per BOE due to lower workover expense in the quarter. We expect that to moderate in the back half of the year to approximately $5.25 per BOE. Our operating income margin for the second quarter was $12.07 per BOE or 34% of our total revenue. Turning to guidance. We are reiterating our 2025 drilling, completion and facilities capital spending to be in the range of $430 million to $470 million. This includes an estimate of nonoperated capital that is about the same as 2024 levels. We are increasing our full year production growth guidance to approximately 10% from a prior range of 7% to 9%. This represents the second quarter in a row of increasing our production guidance for 2025 with a capital budget that is approximately 5% below our initial capital guidance in February. Total production for the third quarter is expected to be approximately 99,000 barrels of oil equivalent a day, with third quarter D&C capital expenditures expected to be approximately $115 million. Oil price differentials are anticipated be approximately a $3 per barrel discount to Magellan East Houston, and Magnolia remains completely unhedged for all of its oil and natural gas production. We expect our effective tax rate to be approximately 21% and with the passing of new legislation during the third quarter, we expect minimal cash taxes for the full year 2025 and assuming a similar price environment, expect minimal cash taxes in 2026 and should benefit us going forward. The fully diluted share count for the third quarter of 2025 is expected to be approximately 191 million shares, which is 4% lower than the third quarter 2024 levels. We are now ready to take your questions.
Operator: [Operator Instructions] Our first question comes from Carlos Escalante with Wolfe Research.
Carlos Andres E. Escalante: First of all, I'd like to ask about your -- where you see free cash flow trending. And let me frame the question real quick. So we like to think that the value of an MP is relatively simple, it's free cash flow times duration. And the states that you've taken this first half of the year by raising production guidance and lowering your capital retention intensity, you have evidently grown both. So I know it's perhaps too early to talk 2026, but it seems like given recent well performance growth in the low single digits, it's probably inevitable, but so is further capital efficiency improvement. So I wonder if you could frame the 2026 and beyond growth versus capital efficiency conversation for us and specifically in terms of free cash flow optimization. What do you think gives in first? And what do you prioritize out of those 2 items moving forward?
Christopher G. Stavros: [indiscernible] 15:43 Carlos, yes, it seems reasonable, I guess. I don't know how much I want to get into '26 just yet. It's a little early, but it's all trending in the right direction. I said this a number of times on other calls. So recall, we find ourselves in a position where we're in an older field in Giddings, it's been operating for decades with an enormous amount of oil and gas in place that had not been developed with moderate and technology and completion. So when we started out from the beginning, we viewed it if we were able to crack the code subsurface-wise, there was a lot of upside potential in the field. And this is exactly what we've experienced during the last several years. So what you've seen as a result of this or further capital efficiencies creeping into our development program over time. And as I mentioned in my remarks, our more gradual and tactical way of approaching this has been to appraise, acquire, grow and further exploit and so as we further expand the Giddings footprint, which I'm confident that we will, simply by the nature of moving into newer areas, you should likely pick up further efficiencies. So I do see this over time trending better for us. It will -- it's an old field that will just continue to give, give, give and get better. And remember, as I said, I mentioned this in many prior calls, the goal for us should be the goal I suppose for most, the goal for us is to drill the best wells with the least amount of capital as possible in order to generate the highest amount of free cash flow, which I think is where you're getting at, and that's your point. It shouldn't go unnoticed that we began the year by saying that -- this year by saying that we would spend about $475 million in capital and see production growth of about 5% to 7%. So here we are in late July. And we plan to spend 5% less or about $550 million of capital, and we'll grow our production volumes by 10%. So hardly anything to complain about as far as I am concerned. So I hope that gives you a little context.
Carlos Andres E. Escalante: Yes, most definitely. Thank you for [indiscernible] I guess I'll keep it on the same line of conversation from my follow-up, but perhaps focus more on product mix. So there is clearly a ton of variability across your Giddings position just given how the Austin Chalk is laid out. And the question that we often get is if your incremental molecule or getting gas here, now you turned in line some very good wells that had a lot of liquids, but also a lot of gas earlier this year. So could you possibly perhaps frame what you view your capital allocation within your Giddings plan year in, year out? .
Christopher G. Stavros: It's interesting. We get the question too, and I understand maybe a little bit of maybe the confusion. But at the end of the day, broadly Giddings whether it's little areas that are a little bit maybe oilier or certainly areas that are gassy, which I think is what you're getting at, the gassier wells in Giddings do come with a lot of liquids and quite a bit of oil more often than not. And so to say that we're focusing on 1 particular area in Giddings. I mean this is Giddings, the way we see it broadly. And our goal is to sort of drill good wells and I don't know, maybe this is an odd way of putting it, but sort of do a tour around Giddings and we'll rotate around the field. And again, part of this is to learn more about it because we're at the relatively early stages of it, but we'll move around. And typically, it -- on a broad basis, the well performance is quite strong. The well returns are very, very strong. And so we don't -- there's pockets of general -- of a little difference -- differentiation. But at the end of the day, broadly, we're seeing very good returns from most of the wells that we bring online.
Operator: Our next question comes from Peyton Dorne with UBS.
Peyton Rogers Dorne: This is Peyton on from UBS. Quick question on Brian's side. I think I might have missed it in the prepared remarks, but you mentioned, I think it was a minimal cash taxes as a result of the new budget bill. So just if you mind clarifying that? And then any impact on taxes or forecast for '26 and beyond that we should be thinking about? .
Christopher G. Stavros: Yes. The taxes for this year, minimal or maybe I would say, negligible for '25. For '26, as Brian said in his remarks, probably not all that different at current product prices. So if that gives you I mean I think the range that we had given in prior to the bill was 6%, 7%, 8%, 9% in that vicinity. This is quite different than that, quite a bit lower, negligible.
Peyton Rogers Dorne: Yes, certainly. Good to see extra free cash flow, too. And I guess just otherwise, on the operating cost side, it was a nice trend down for the LOE. I know you attributed some of that to lower workover. But just curious if there's any more juice to squeeze there, any other outlook on potential for declining costs on the operating side in the back half of the year? .
Christopher G. Stavros: Sure. We definitely benefited from what I would call a lighter quarter of workover activity and maybe some lower service facility expenses during the period. But having said that, we did -- if you recall, we embarked on an effort to address field level operating costs more than a year ago, and we definitely experienced some broad improvements throughout our field operations and there are a lot of smaller items that begin to add up. I think we have, and we'll continue to see some of those improvements trickle into our field operating expenses, a couple of items that I've mentioned that are either helping or will help utilization of chemicals, water hauling. And so while lower workovers did pull things down quite a bit in the second quarter, we're seeing some broad improvements. But having said that, I think we'll normalize more towards $5, $5.25 per BOE in that sort of frame, and we'll see where that goes. But that's still about 5% of where we were last -- 5% lower than where we were last year, and I hope to do better through the remainder of the year.
Operator: Our next question comes from Zach Parham with JPMorgan.
Benjamin Zachary Parham: First, just wanted to ask on oil production and the trajectory from here, you all hit 40,000 barrels a day in 2Q, which you previously stated was kind of the goal for 4Q this year. Do you expect continued growth in oil production in the second half of the year and as we go into 2026?
Christopher G. Stavros: Yes. I think as I look at the program, how play out from here on in for the year. I think similar to slightly higher than what we saw in the second quarter. And I would tell you probably -- and that would include the small amount of production volumes that we grabbed from those bolt-on acquisitions, a little bit of volumes. So as I said, maybe 99,000 a day for the third quarter, oil should sort of follow the same general trajectory on a percentage basis. So I think you'll get a little bit of bump in both total volumes and oil for the rest of the year.
Benjamin Zachary Parham: And then as you go into '26, would you expect to grow oil at a similar rate of total? Or should that grow a little bit slower?
Christopher G. Stavros: I don't know for '26 in terms of total volumes. I would tell you right now, the plan would be to really mid-single-digit growth -- but in terms of the split, typically with -- as we've seen with Giddings with more and more of the focus in capital and the business generally growing more so there than the rest of it, you're going to see that be a little bit lower on oil. So I would imagine that mid-single-digit growth on the total company basis would be a little bit lower on oil.
Benjamin Zachary Parham: And then my follow-up just on the M&A outlook. You did the $40 million acquisitions this quarter, some of that really right on top of some of your core acreage there. Can you just talk about what you're seeing in the market going forward from an M&A perspective, from a bolt-on perspective? Do you see the ability to continue to kind of add acreage in these core areas going forward?
Christopher G. Stavros: I think we can. There's some ongoing smaller opportunities, and these tend to be oftentimes individuals, people, families or that nature, and that's not very different than what we experienced here with what we've just done. When you look at larger things, those tend to have other complications or complexities be managed by more like asset managers or financial managers that may take a different view. And just by the nature of its size, it's just generally more complex. And with the fall away or fall off of product prices, that adds another dynamic. So that's generally not there as much in some of the sale opportunities. So I think there's still things to be had, but on a smaller level.
Operator: Our next question comes from Oliver Huang from Tudor, Pickering, Holt.
Hsu-Lei Huang: Maybe first off is, maybe first off, just good to see success in the appraisal program driving the confidence to increase your house views on core Giddings development acreage. Just trying to think through relative economics of the incremental 40,000 net acres being folded into the program. So hoping that you all could maybe talk a bit more on the criteria or any return threshold you all typically look at when such a decision is made to shift acreage into that bucket.
Christopher G. Stavros: Well, I think if you back out any value for the production that we received, the remainder of that, which is really, the point was a very reasonable amount to pay for the entry point or tuck-in, if you will, of the additional acreage that is in our core area for the most part and is adjacent to where we are and could offer opportunities for lengthening laterals or clearly brand new wells and whatnot. So it's more about the upside potential and the entry point, the cost of the entry point, which is I would view as very low in terms of picking up the acreage. So I -- that's how I look at it.
Hsu-Lei Huang: Okay. Makes sense. And maybe just on service costs as we kind of think about trends there, the front end of the oil curve has certainly held in stronger than expected and it does seem like there is potential for service companies softening their stance a bit here. But just kind of wondering how initial discussions have been and sort of expectations as we enter RFP season.
Christopher G. Stavros: Yes. I don't want to speak for the service guys very, very specifically. But I will tell you, it's obviously harder for them right now. I don't want to say that it's -- you're down to the bone, but there's certainly seeing bone as opposed to many fat or skin left on the bone. So it's harder for them. And but things have come off, and you've seen some ongoing deflation as activities has rolled over a bit and certainly, in the second quarter is product prices, certainly for liquids or oil rolled over. And I think that certainly spooked some operators where they've reduced -- either reduced activity or just played off rigs, et cetera. And so as you continue to see that which you very may well see into -- towards the end of the year, if you sort of sit around these prices, you do have a little bit of ability to nudge our push on it somewhat, but not a whole lot. I think what you're seeing is some improved benefits on OFS, i.e., to Q3? And then you get into Q4, where there's more in the way of steel inflation and OCGT items as a result of tariffs. So that may start to roll against it, if you will, and flatten it out. But I would tell you, what we've seen is probably several percent into Q3 a little bit more than what we saw in the first half of the year. And maybe all in, I would tell you, from the exit of '24, 6%, 7%, something like that, but then it sort of flattens out and may, in fact, depending on what happens with activity, you might see a little bit of a soup bowl or the bottom of the soup bowl and then you start to perhaps trickle higher with activity ramping as operators typically do into the beginning of next year. But we'll see. It's a hard one to call based on product prices and exact activity for operators right now.
Operator: Our next question comes from Charles Meade with Johnson Rice.
Charles Arthur Meade: Chris, I have to say you're cutting down to the bone. That was quite a vivid metaphor that you offered for us. I really just have 1 question, Chris. You mentioned in your prepared remarks that some of your recent completions have been or I guess, stronger than you guys had expected or modeled. Can you talk about where those are? And what I'm really curious about is, are those some of those recent completions on this 30,000 acres that you recently added to your development area?
Christopher G. Stavros: Yes, probably. That's what I said in my remarks. tactically, as you look at how you exploit Giddings, it's moving around the field, appraise, acquire. And that's sort of -- this is an indication of the way we've done it. And so the real ideal or perfect example was in an area where we were drilling late last year into early this year, where the wells outperformed. That was the exact way it panned out where we had appraised an area and then liked what we had seen and then had an opportunity to acquire much more of it, which led to having a bigger development swath of development area. And so I imagine that this is what this will lead to as well over time, same sort of concept, giving you precision as far as GPS location where it is. I'm not going to do that, but anyway.
Operator: Our next question comes from Tim Moore with Clear Street.
Tim Moore: Nice consistent execution along with the drilling runway still strong, followed by your production growth guidance. Most of my questions already answered, but just 2 remaining ones. You mentioned the uptick percentage in the Giddings acreage added since the original acquisition. And as you explore and kind of exploit those acreages, I'm curious, just are you finding better hole areas clustered for more output yield and better pressures? And have you done any type of enhancements to maybe the drilling efficiencies and completions? Are you going to like 4 to 5 well pads more there in the last few months? Just a little bit more color on Giddings is going so well.
Christopher G. Stavros: Yes. No, we've done that throughout the development period -- time period of Giddings. We've as we've looked at things like downspacing, we've looked at things like adding more wells per pad to optimize a development area once we know more about it. We've done that in some parts of that core development area that's now that 240,000 acres. So over time, yes, we will continue to further optimize as we get to it because we haven't gotten to it, obviously all yet. But as we get to it, there will be more, not just more efficiencies, but different ways to maximize and optimize the capital as we spend and further develop as we learn. So yes, there will be more improvements with the development.
Tim Moore: No, that's very helpful, and it's a really good catalyst. Just 1 quick follow-up on the efficiency in LOE per BOE was very impressive in the quarter. I think you had already given a commentary a while ago that gathering transport and processing expense per BOE would go up this year. But do you envision the transport and gathering, processing side to maybe go down a little bit next year? Or do you think the run rate now is really the level for next year?
Christopher G. Stavros: It's going to be somewhat dependent on gas prices for the most part, but probably fairly similar BOE I would say.
Operator: Our next question comes from. [ Fu-Sam ] with a ROTH Capital.
Unidentified Analyst: So I specially a question about the Giddings expansion. So we know that 70% of the expansion comes from the appraisal well. So can you be more specific about like the number of appraisal wells you drilled? And how does that compare to the past few quarters?
Christopher G. Stavros: Yes. On an ongoing basis, I would tell you, the appraisal program typically is maybe 10% of what we do on an overall basis, plus or minus. So we always try to fold in some things that we'll look at on a different type of -- from a different angle, test some new concepts. And so we're always looking to pull in some opportunities to examine the area for other types of opportunities in a different way to do things where potentially more things will get folded into the derisked area of the acreage, so -- or improve our results over time and may lead to other bolt-ons with that. So I would tell you, plus or minus sort of 10%.
Operator: Our next question comes from Noah Hungness with Bank of America.
Noah B. Hungness: Just 1 for me. I guess I was wondering the -- how many completions are being deferred into '26, if that number has changed from what you guys had talked about last quarter? And then how are you thinking about tilling that spare capacity? And would you consider maybe pulling some of that activity forward? And if so, what would you need to see to feel comfortable doing that?
Christopher G. Stavros: I guess the last portion of the question, I'll take first. No, I don't -- right now, as I see it, I mean, we're sort of -- if we pulled any of it forward, we'd grow at a faster clip. And the need to do that right now, I just don't see it. Things are performing better than what we had anticipated, expected. So I don't see that right now. 10% of growth is just fine. The completions that we're deferring, that number didn't change. It's about a half a dozen that will be deferred into next year.
Noah B. Hungness: And would you -- how would you consider using that spare capacity, I guess, then in '26? Like is there -- is that something that you think you would, for sure, use as part of your program? Or is that something that you think that maybe you would want to maybe save depending on the environment that you're seeing?
Christopher G. Stavros: Well, it's going to depend. But I mean, if you're sitting here in the environment that we're in, it will -- since it's been drilled, it will be part of the program for next year with all likelihood. If this is sort of the commodity environment that we're in, it will get completed.
Operator: [Operator Instructions] Our next question comes from Tim Rezvan with KeyBanc Capital Markets.
Timothy A. Rezvan: I wanted to ask about the really strong well results we saw you all turned to sales in the fourth quarter of 2024, very sort of differentiated production profile, mid-30s oil cut, but they were so strong that the total oil was really comparable to other vintages. So I was just curious, did you all sort of expect that production profile? Was that a tactical decision into winter with gas rallying? And just trying to think about how you can be nimble with your drilling, especially as we look at the natural gas strip in contango in 2026. I know there's a few questions in one, but just curious any insight on what you did there.
Christopher G. Stavros: No, good question. We -- I mean, we did say this at the time back in the May call, it was a tactical decision to pivot a little bit more to what we believe to be a gassier area to try to capture some of what we thought would be some better pricing for gas, and it did work out just fine in that sense. What we didn't anticipate was the prolific nature of the wells, the strength of the wells, both on the gas and the oil side. So the wells were very high pressure, very good returns. And even what we've seen since then in terms of the cadence of the productivity has been -- continues to be good. And so it's been rather durable up to now. So it's worked out very well. I would tell you that we'll plan -- we haven't done it much since then in that area, but we'll go back to it next year and revisit it. So if that -- if anyone cares, but we'll do that. We'll plan to do that.
Timothy A. Rezvan: Okay. That's helpful. I appreciate the insight there. And then as my follow-up, looking at where commodity prices are shaking out, you seem to be somewhere around 48% investment rate as a percentage of CapEx this year. With the underleveraged balance sheet and sort of this larger sandbox of derisked inventory and you have 7 years of experience now in Giddings. Why not grow a little more? And where I'm going with that is like -- and then related question, this sort of high single-digit production growth CAGR you've had, can you continue to do that the next couple of years with 2 rigs? Or is kind of an increase of activity inevitable to sustain that?
Christopher G. Stavros: So the model has us looking to grow mid-single digits as defined in 4%, 5%, 6% -- as you know, if you were to stretch and try to reach beyond that and the more you sort of reach for growth, it only usually anyway, enhances your rate of decline and makes it more difficult thereafter and as you get larger. So you're pretty spot on, on the 48%. And so there's obvious uncertainties around product price environment. There's not a lot of folks optimistic out there on oil, but current prices seem just okay to me. I don't see needing to reach beyond what the field and Giddings has provided us. Giddings is clearly the growth part of the business, the growth of your asset, while the Karnes area has been more the free cash flow generative piece of the business. Giddings has far exceeded our expectations as far as what it's been able to generate in terms of growth. So almost every year, year in, year out, we've overshot what we've anticipated or expected going into it in terms of our development plan. So the outcome of the growth has been really more better than expected. It wasn't the modeled plan. So we got more out of the wells pound-for-pound on a capital dollar than what we had anticipated broadly. And so I just continue to look for that sort of benefit. I'm not claiming that that's going to be the go-forward case, but we'll continue to sort of do the best we can, and that's the plan. We'll try to squeeze as much as we can out of the field. And some of these newer areas, we're optimistic about, and the plan is still mid-single digit if we exceed that great with the same amount of capital.
Operator: This concludes our question-and-answer session and concludes the Magnolia Oil and Gas Corporation Conference Call. Thank you for attending. You may now disconnect.